Operator: Please standby, we are about to begin. Good day. And welcome to Ryerson’s Third Quarter 2015 Earnings Conference Call. Today’s conference is being recorded. For opening remarks and introductions, I would like to turn the call over to Ryerson’s Head of Communications, Christopher Bona. Sir, you may begin.
Christopher Bona: Good morning. Thank you for joining Ryerson Holding Corporation’s third quarter 2015 earnings call. I am here this morning with Eddie Lehner, Ryerson’s President and Chief Executive Officer; and our Interim Chief Financial Officer, Erich Schnaufer. Kevin Richardson and Mike Burbach, the two Regional Presidents in-charge of North American Operations will be joining us for Q&A. Before we get started, let me remind you that certain comments we make on the call contain forward-looking statements within the meaning of federal securities laws. These forward-looking statements involve a number of risks and uncertainties that could cause actual results to differ materially from those suggested by the forward-looking statements. Such risks and uncertainties include, but are not limited to the volatility in metals demand and prices, cyclicality of the various industries that we serve. Forward-looking statements provide our current expectations or forecast of future events. You are cautioned not to place undue reliance on these forward-looking statements, which speaks only as of the date they are made and are not guarantees of future performance. Important factors which may cause results to differ from expectations are included under Risk Factors in our annual report on Form 10-K for the year ended December 31, 2014. In addition, our remarks today refer to several non-GAAP financial measures, which exclude LIFO and certain other expenses. These non-GAAP measures are intended to supplement, but not substitute for the most directly comparable GAAP measures. A reconciliations of these non-GAAP financial measures to the most directly comparable GAAP measures is provided in our third quarter earnings release filed on Form 8-K yesterday, which is available on the Investor Relations section of our website. With that in mind, I'll turn the call over to Eddie.
Eddie Lehner: Thank you, Chris, and good morning. As the third quarter of 2015 unfolded, it became increasingly clear that the metals industry is effectively in a recession. In four of the last five quarters, metal service center industry shipments declined sequentially and industrial metal commodity prices have dropped for the past four consecutive quarters. In the third quarter of 2015, MSCI shipments declined 9% from the year ago period and 3% from the second quarter. As you know, pricing deflation has been prolific with protracted steep declines through 2015. Year-over-year, hot roll sheet is down 32%, nickel is down 45%, and Midwest aluminum is down 29%. As per the relevant indexes, underlying commodity prices has shown further deflation through the fourth quarter to-date. While industry shipment had increased from the trough in 2009, we are still more than 20% below the five-year pre-2009 recession average and some 40% below the last cycle’s peak shipment level. Given the macro environment as it exist we have sharpened our focus on controllable variable, timely responses to conditions, anticipatory actions and improvements within Ryerson that position the company for strong recovery when industrial markets turn for the better. With that context in mind, I want to thank my Ryerson teammates for executing well through adverse industry and macro conditions as we continue making notable progress on numerous fronts. When we peel back and look beyond the current macro realities, we find Ryerson making important strides in its transformation as a company continuing to improve meaningfully and optimistic about its future. Let me lead off by mentioning Ryerson’s progress and shipments sequentially. Tons shipped were up 0.8% sequentially in the third quarter of 2015. That volume increase is different than the normal seasonal decline we experienced from the second quarter to the third and outpace industry shipment trends. Since well before the current downturn began in the later part of 2014, the organization is focused on and excelled at managing expenses and inventory. The result has been industry leading expense ratios and working capital management. That focus has served us well though challenging market condition when it is vital to turn inventory quickly, reduce expenses and generate countercyclical cash flows. Through the first nine months of 2015, we have reduced average cost inventories by $175 million or 25%. With responsive inventory management, we have more closely aligned our average cost inventory with current market prices. As a result, we captured sequential improvement in gross margin, excluding LIFO of 100 basis points from the second quarter to the third quarter of 2015. When prices stabilized, we expect margins to improve as the lag between replacement cost pricing and the declining average cost inventories comes into balance. Our inventory management practices were a key factor in our positive cash flow generation. Through the third quarter we generated cash flow from operations of $193 million. Since the beginning of the year we’ve reduced total debt by $165 million or 13% including the repurchase of $60 million in principle of our long-term notes. Given current market conditions, supplier lead times and pricing, we will continue managing inventories through our benchmark level of 75 days. While we have been proactive on the expense side, we think there is more to do at this point given the environment. We have begun implementing a plan to take out $20 million in annualized expenses during the fourth quarter of 2015 and the first quarter of 2016. We have also identified non-core assets for sale and expect realization for more than $10 million from these sales over the next three to six months. We will continue evaluating our footprint to optimize distribution and processing capacity. As per metal market conditions looking forward, it’s probably safe to say that we are closer to the bottom than the top, but we don’t know how long current conditions will last. Despite widely conflicting points of view on the U.S. economy and the global economy, the recent budget agreement, pending highway bill legation, trade cases and chronic under investment in infrastructure, and machine and equipment are potential positive catalyst for cyclical recovery and secular growth trends to emerge. As we are hearing the term unsustainable more and more, when describing the [period] [ph] of 2015 metals market pricing to an early 1990’s cost structure and with cash burn rates reportedly increasing throughout the primary metals producing complex worldwide a case can be made that we are moving to a bottom with the near-term rational end in sight. That said, we will be prepared and maintain quick reflexes as prevailing conditions dictate while we continue improving our business model and execution. Finally, and as important as anything we had discussed, Ryerson continues to expand and enhance its value added distribution and processing capabilities. Through our acquisition of Fay Industries and Southern Tool Steel as well as targeted growth CapEx and the development of additional sales channel, we are continuing to transform Ryerson’s business model in order to increase Ryerson’s enterprise value over the business cycle. Through the first three quarters of 2015, Ryerson has excelled in generating cash, deleveraging the balance sheet, investing in growth, managing expenses and taking well thought-out anticipatory actions while realizing gains in key industry commercial benchmarks. With that, I’ll turn the call over to Erich, who will discuss our third quarter performance and outlook.
Erich Schnaufer: Thanks, Eddie, and good morning. As Eddie said, we’ve made further progress on working capital and expense management and have better aligned our average cost of inventory with current market value. And despite continued deterioration in industry-wide metal shipments, we’ve posted sequential gains in market share for three consecutive quarters. For the third quarter of 2015, net sales were $790 million, down 6% sequentially from the second quarter of 2015 and down 16.7% from third quarter of 2014. On a year-over-year basis, the average selling price was down 12.2% and tons shipped were down 5%. Sequentially while average selling price declined 6.7%, tons shipped slightly improved up 0.8%. Ryerson’s gross margins were 19% in the third quarter of 2015 compared with 19.7% in the second quarter of 2015 and 15.8% in the year ago period. Included in cost of materials sold was a $9 million charge to record inventory at the lower of cost or market which partially offset LIFO income of $30.3 million. During the third quarter, market prices declined below our LIFO value of inventory, resulting in LIFO income being partially offset by the lower of cost or market charge. We expect LIFO income to be primarily offset by lower of cost or market charges in the event that market prices declined further. Excluding LIFO, gross margins were down year-over-year but sequentially gross margins excluding LIFO were up 100 basis points at 16.3%. On the expense side, we reduced warehousing delivery, selling, general and administrative expenses 1.2% sequentially and 7.1% year-over-year, excluding $32.7 million of one-time costs associated with our initial public offering in the third quarter of 2014. Regarding the additional $20 million of expense savings that we are implementing, we expect to capture significant savings by the first quarter of 2016 and the entire annualized run rate of expense reduction by mid-2016. Net income attributable to Ryerson Holding Corporation was $6.7 million or $0.21 per share compared with $15.8 million or $0.49 per share in the second quarter of 2015 and a loss of $34.7 million or a loss of $1.26 per share in the third quarter of 2014. Excluding IPO related expenses and debt redemption costs, earnings per share would have been $0.09 in the year ago period. Adjusted EBITDA excluding LIFO was $29.7 million in the third quarter of 2015, that compares to $29.2 million in the second quarter of 2015 and $62.2 million in the third quarter of 2014. For the first nine months of 2015, revenues were $2.5 billion, down 9.3% from the first nine months of 2014. Net income attributable to Ryerson Holding Corporation was $20 million or $0.62 per share for the first nine months of 2015. Excluding impairment charges on assets of $14.2 million, or $0.29 per share after tax, net income attributable to Ryerson Holding Corporation was $29.1 million or $0.91 per share for the first nine months of 2015. The company reported a net loss attributable to Ryerson Holding Corporation of $30.5 million or a loss of $1.31 per share for the same period of 2014. Excluding IPO related and debt redemption expenses, net income attributable to Ryerson Holding Corporation was $6.8 million or $0.29 per share in the first nine months of 2014. Adjusted EBITDA excluding LIFO was $94.8 million in the first nine months of 2015 compared to $177.4 million in the year ago period. On the pricing front, nickel, aluminum and carbon flat-rolled prices had continue to drop. Overall we expect lower commodity prices in the fourth quarter. In the third quarter, we repurchased $15 million principal of our long-term notes. That brings our full-year repurchases to $60 million. That should reduce our annualized interest expense by $5 million. And with the refinancing of our ABL facility which we completed in July, we are estimating an additional $4 million in annualized interest expense savings. As of September 30, 2015, borrowings under our primary bank revolving credit facility stood at $331 million with additional availability of $196 million, including our cash and marketable securities balances and availability from our foreign sources, total liquidity was $269 million. As we move through the fourth quarter of 2015 and into 2016, liquidity will be strengthened from lower interest expenses driven by our bond repurchases and our ABL refinancing, our expense reduction actions, sales of non-core assets and expected reduction in pension contributions in 2016. We remain confident that we have sufficient liquidity and financial flexibility to pursue prudent and highly selective growth opportunities concurrent with debt reduction. That said, our focus through the quarter and into 2016 is working capital management. Expense reduction and building liquidity for maximum optionality as we emerge from the current bottom. With that, let's open the call to your questions. Operator?
Operator: Thank you. [Operator Instructions] We will take our first question from Paul Luther with Merrill Lynch.
Paul Luther: Hi, Eddie and Erich. It’s PT from Merrill. How are you?
Eddie Lehner: Hi. How are you doing? Good morning.
Paul Luther: Good. Thanks. I guess can we start with sort of an end market look, could you kind of walk through your key end market trends you’ve seen recently there?
Eddie Lehner: Yeah. Let me just give you a little bit of an overview in terms of what we’ve seen trending and then I’m going to let Mike and Kevin give you some more color. But as we move from Q2 to Q3, we’ve seen a shift to the consumer and we've seen growth in non-residential construction and residential construction. So in that sense what you are seeing in reported numbers on a macro basis, seem to be coming through the service center industry as well.
Mike Burbach: Hey, Paul. This is Mike Burbach. And to add a little color to what Eddie added, so we would agree with what’s been said and even if there is any trends, looking at little bit deeper end users in applications like appliances, HVAC, seem to be some areas we are seeing some relative strengths. We are also seeing some relative strength from where we’ve been in recent quarters along the lines of defense and some heavy equipment used in construction applications. So there are some trends on a favorable basis. However, we continue to have some end-uses that are lagging and have been well-documented in previous discussions, namely in oil and gas, agricultural and mining related industries.
Paul Luther: Got it. Thank you. I’m sorry. Go ahead. And then could you give us some guidance maybe on LIFO income, if prices are kind of stable through Q4 from where they are now? Can you give us a sense maybe of what LIFO income might look like for the quarter?
Erich Schnaufer: Sure. As we -- this is Erich. As we had mentioned, our LIFO income in the quarter was $30.1 million and that was offset by a $9 million LIFO lower of cost or market charge. So, we ended up recording a net $21.3 million. If prices continue to decline any LIFO income that would be generated, we would expect it to be largely offset by an additional LIFO lower of cost or market charge. So there will not be any relative LIFO income going forward.
Paul Luther: Got it.
Erich Schnaufer: Yeah. Our gross margins on a FIFO basis will converge with our GAAP gross margins.
Paul Luther: Okay. Got it. That’s helpful. Thanks. And then could you talk about continued efforts on working capital what you might see for Q4? I think you have another $7 million released in Q3 and what inning are you in with the inventory actions that you've been taking and what you might see for Q4 there for cash flows?
Eddie Lehner: Yeah. Paul. So, pricing gravity is pulling average cost down, so replacement costs keep going down. So, you are going to see working capital release just on a nominal pricing level and given seasonal weakness in Q4 and overall industrial weakness in the industry and macro you will see inventories meet that level of demand as well through Q4. So, we would expect inventories to [indiscernible] in volume and in price.
Paul Luther: Got it. Thanks. And then last one for me, then I'll jump back in queue. You have a pretty substantial maturity coming up next October, obviously with the nines coming up. Can you give us any sense what your plans are, as that date approaches next year?
Eddie Lehner: Yes. Sure. So, look, we are running a positive EBITDA business. We are getting better every day on some really rough macro seas at present. Right now, there is limited liquidity in the high yield capital markets around metals, mining and oil and gas. Between now and our maturity dates, we believe our operating performance will meet the high yield debt markets at a better point of intersection that exists now. So, we continue to monitor the market. We will be prepared to act in the best interests of stakeholders as things improve, or in the event current conditions persist. This is really a great time to run the business better than we ever had before, as everything we do well in these trough conditions gets magnified to the good as industry fundamentals recover.
Erich Schnaufer: And Paul, this is Erich. Just to be clear, our maturities are not next year. They are in 2017.
Paul Luther: Right. That’s in ’17. Got it. Okay.
Eddie Lehner: Yes. So, we are 23 to 35 months out, but obviously well aware of the issue.
Paul Luther: Yeah. Understood. Okay. Eddie, Erich, thanks very much.
Eddie Lehner: Thank you.
Erich Schnaufer: Thank you.
Operator: We will take our next question from Matt Duncan with Stephens.
Matt Duncan: Hey guys.
Eddie Lehner: Hey Matt.
Erich Schnaufer: Good morning, Matt.
Eddie Lehner: Long time no see.
Matt Duncan: Yeah. I hadn’t seen you since early this week. So just to add a little bit more on the working capital release, you talked about inventory, what are you guys doing on DSOs to try and bring accounts receivable down and what the offset going to be with payables, just sort of thinking through the networking capital effect?
Erich Schnaufer: Yeah, I mean, our DSO performance was good. I mean, we are right around at 42, 43 days. So there's really not a lot to be done there. In terms of accounts payable, I think we’ve managed that cycle well relative to condition. So, our cash conversion cycle right now is about 87 days, net of [AP] [ph]. And with inventories coming down a couple days, we would think that would improve this quarter.
Matt Duncan: Okay. So the point is, if we continue to see pressure on tons shipped that we seem to be seeing in the industry right now, there is more you can squeeze out of working capital. The point is you guys would still be generating positive free cash flow you can use to manage the debt.
Eddie Lehner: Yeah. We believe that’s the case.
Erich Schnaufer: Yeah. Absolutely. We expect to generate cash in the fourth quarter.
Matt Duncan: Okay. And Erich, do you have any thoughts on how much debt you guys maybe able to pay off over, call it the next 12 months just given the current environment, what are you targeting there?
Erich Schnaufer: Well again, we are working on managing our working capital. And so any cash that we are able to generate will be paying down on our ABL. We had purchased some of our back in the open market. At this point, we are looking to marshal liquidity, maximize our liquidity and really taking a look at, putting that cash to work, paying down our ABL.
Matt Duncan: Okay. On the adjusted gross margin you’ve got a very nice 100 basis point improvement there sequentially. How much more do you think you can do here in this environment and do you expect that to keep going up now that you’ve kind of got your inventory cost balancing?
Eddie Lehner: Yeah. Matt, what we are seeing in a declining shipment environment and what we are seeing with commodity prices continuing to take further steps down is you’ve got lead lags that are in play here. So, if you are pricing to replacement costs in the market, even if you are turning inventories in 75 or 70 days, there is going to be some lags. So what you find is that it’s sort of jagged stair step type phenomenon where in Q4, given the downdraft in commodity prices, we would say that margins would be flat to slightly down in Q4. And then as prices stabilize, margins start to let out again.
Matt Duncan: Okay.
Kevin Richardson: Hey, Matt. This is Kevin Richardson. The other thing that I would add to that is that the wildcard is always the destocking phenomenon in Q4 in terms of -- if you look at the inventories that’s in the channel for the MSCI relative to the low point during the recession, there's still a lot of inventory in the channel. And so if people are looking to move metal in the fourth quarter, it's hard to tell what’s going to happen in terms of pricing pressures in certain commodities.
Matt Duncan: Yeah. Good point, Kevin. Understood.
Eddie Lehner: Matt, one more point I would make is, you look at 2013, which was not as steep of deflationary period, even though it was deflationary. If you look at the second half of 2013 in compared to 2015, 2015 is much more deflationary than 2013. The difference is by the end of 2013, industry inventories were around 2.2 months. It come down a little bit from 2.8 to 2.7 but there is still some overhang from that sort of parallel domestic inventory in the channel and import inventory in the channel. And the fact that going into ’15, everybody thought ’15 was going to be a stronger year, up in volume and up in price, and just the opposite occurred, we’re far down in pricing down in shipment industry-wide. So still some inventory overhang to come out, but I think the supply chain is getting tighter.
Matt Duncan: Okay. That helps. And just last thing just some color if you could on the planned cost actions, what are you guys doing there?
Eddie Lehner: Yeah. So in general as we’re evaluating our footprint, we’re looking where we have multiple branches, servicing geographies and where we can still maintain service levels. But intelligently pick out fixed and durable cost. And I’ll let Kevin and Mike expand on that.
Kevin Richardson: Yeah. Hey Matt, it’s Kevin again. One thing I would add is one of the side benefits of reducing our days of supply. If you look at the historical Ryerson pre-transformation in terms of how many days of supply we used to run this business with versus now, it means we need less footprint and so we’d been able to find opportunities to consolidate our footprint in certain geographies without trading off any service levels. And then the other thing I would add is just is one of the benefits of having as much scale that we do is that we can adjust quickly. All of our plants have productivity data in terms of benchmarks, in terms of having hours of work we’re earning based off for the business we’re putting out in the plants versus our staffing levels and that’s was really driving the expense actions.
Matt Duncan: Okay. Very helpful, guys. Thanks.
Eddie Lehner: Thanks, Matt.
Operator: We’ll take our next question from Jorge Beristain with Deutsche Bank.
Jorge Beristain: Hey. Good morning, guys. Good quarter.
Eddie Lehner: Okay. Thank you.
Jorge Beristain: I guess, just maybe if you could talk about specifically in your carbon steel volumes where you saw nice sequential improvement versus what MSCI did down 3% and you guys were up 2%, was there some specific new contract that you're servicing there and you alluded that you saw some improvement in defense and heavy equipment for construction, are you seeing some acceleration ahead of maybe some of the…
Eddie Lehner: Yeah.
Jorge Beristain: … approvals for infrastructure spend coming out of Washington?
Eddie Lehner: Jorge, I’ll be often, I’ll have Mike and Kevin to expand more. But on a relative basis we’ve seen some strength in Eastern Canada. Eastern Canada had been very depressed for a long time. And we seen from relative strength, which say relative strength coming out of bottom, but we’ve seen some relative strength in Eastern Canada. And we’ve seen from relative strength in China as well, on our China coil processing assets, so and some areas around the U.S. and in Mexico. And then I’d have -- I’d ask Mike and Kevin to expand on that.
Mike Burbach: Yeah. Hi, Jorge, Mike here. So along those same lines, what I would say would be driving this as much as anything is really reflection on the work that the field is doing these days. We’ve put together a great team. The transformation is well down the path of growing our business and probably tacking attractive market. So when you look at what's happened, couple of those industries as Eddie mentioned and you mentioned, absolutely, we saw a little uptick in activity and I would add some of the consumer driven trends that are happened macro wise and so we saw some upticks in appliance and some building materials along with the residential construction. So that’s why I think the bulk is coming from.
Jorge Beristain: Okay. And can you share with us, Eddie, a ballpark where you think HRC will average in 2016?
Eddie Lehner: Boy, so I’m going to put my…
Jorge Beristain: Year-over-year is it going to be up or down.
Eddie Lehner: As we go through 2016 year-on-year?
Jorge Beristain: Yeah. Full year average, your full year average.
Eddie Lehner: Full year average, from where we are now its going to be up…
Kevin Richardson: Jorge, it’s Kevin…
Eddie Lehner: I think the probability is this from we are now it goes up. It would be hard to give you a range right now because the variables that are still outstanding are the dollar interest rate policy and really the final determination for the trade case. But I think the probabilities are on the side of HRC prices going up in 2016.
Jorge Beristain: Okay. And in terms of the trade cases, we obviously saw one come out already. What is your view of that kind of determination that seems to be, in the sense overly China focus but maybe missing the forest for the trees.
Eddie Lehner: Jorge, when, I mean, I extremely spending a lot of time on the Bloomberg Terminal after the midnight, so as I look at all these articles and all the information intelligence that comes out as you do, I think the trade case rulings reflective of the massive overcapacities been in China that if you really look the roll metal capacities across aluminum, stainless and carbon ex-China, you’d see environments that were much better balanced. So I think the trade case ruling the first determination which was unquoted. I think it reflects that focus and hard to argue that that focus isn’t it right, just given the share numbers as the share magnitude of the overcapacities that seem to be in service and some of the capacities that are coming online.
Jorge Beristain: Right. But what I’m getting that is that, all the five powers focused on China, but Korea and India and other Asian countries got off with no determinations. So I’m just trying to understand like that, you think that the import markets just undulate and had already kind of discounted that China was going to be hit heavy and so that's not really going to stem the flow of imports, I guess, that’s what I’m trying to get at it. That it wasn’t balanced across the board against all imports, it just seem to be very focused on one country.
Eddie Lehner: Yeah. What I would say is I would say that it’s still early, right. And you still have a lot of rulings that are going to come between now and probably June of next year. So I don’t want to be premature and really painting all the trade case with broad brush. But what I would say is you have to go product by product. And I know every case is being ruled on its own merits. But I do think what is clear is that there is ignitions in the market now. I mean based on what you read, there is ignitions in the market now that pick a number. You hear 50%, 60%, 70% of the world primary producing metals companies are burning cash. And a lot of those comments are coming out of China but they’re coming from other countries as well. So with just the proliferation of trade cases, not just in the U.S. but in other countries as well. If you look at probabilities, there’s a strong probability emerging that that’s going to be a floor that’s going to be underwritten on pricing if these cases continue to get rule upon, at least the way the first one was in the U.S. and the way other cases seem to be getting ruled upon in other countries. So I think the idea is just recognition that the current pricing environment seems to be unsustainable. And so I think the trade cases are out there to help remedies at.
Jorge Beristain: Okay. Thank you.
Eddie Lehner: Thanks, Jorge.
Operator: We’ll take our next question from Joel Tiss with BMO Capital Markets.
Joel Tiss: Hey, guys. How is it going?
Eddie Lehner: Hey, Joel. How are you doing?
Joel Tiss: Just I wonder if you could talk a little bit about the competitive landscape. It seems like you guys are doing a great job in a tough environment and there’s got to be couple of guys who can't make it or haven't a lot more trouble. And I just wondered how the competitive landscape is changing?
Eddie Lehner: Joel, I can't speak to any individual competitor. What I would say is if we just look at American metal market and you just sort of save articles for American metal market and metal board and then some other publications that chronicle events in the industry day to day. Certainly, you’ve seen more bankruptcies and more closures through the metal supply chain this year than you’ve seen in the prior six years combined. And so I think there are firms out there that reaching a maximum pain points and its reflective of really bad weather that we’re seeing in the industry. And the conditions that have really accelerated over the last four to five months. So obviously, within our company we really have to focus on getting better everyday within Ryerson and we’re doing that. So that’s where our eyes are fixed. But I'll go ahead and I’ll turn it over to Mike and Kevin for some additional color.
Mike Burbach: Yeah, Joel. Mike Burbach here, Joel. So the one -- the way I would answer that is really what we focus on is the areas we can control. It is a difficult market. There's no question about that. There is too much supply but what we can do is we can be the best in class managing our assets, taken expense to the levels they need to be for the conditions we are in and really focus our efforts on adding value and improving service for our customers. I think if we continue to do those things, it will play out well and I think we've seen that in some of the trends we’ve had in recent quarters.
Kevin Richardson: Hey, Joel. Kevin Richardson, the only other thing that I would add is. We do get pockets of reports of transaction prices out there that you just shake your head and you know that somebody in a certain geography just trying to generate cash. And it’s a price that makes no sense. So when we look at where we want to grow and how we want to grow, we take a pass on that. But there's no doubt given all the inventory that's in the channels that there is more pressure today than there has been in the past, take a timeframe in the past couple of quarters. In terms of what is going on with the metal pricing, which by the way is an advantage of sitting on 70 some days worth of supply instead of 80 or 90 or 100.
Joel Tiss: Yeah. My thrust of my question was just about your ability to continue to gain share but I get the picture. And then…
Kevin Richardson: Hey, Joel, but I would say this to you and I would say that. One of the things about this environment that really is an opportunity because we are an optimistic bunch, and that is things you have to do in this environment are really clarifying, right. So we talk about expense management, talk about working capital management, but the other thing is really clarifying is and this goes to some of the numbers that you're seeing and that is really generating fantastic customer experiences time after time after time with running water type consistency. So in this piping environment you get the opportunity that’s really clarify what your mission is. And we get to generate great customer experiences this time after time and we’ll continue to do that.
Joel Tiss: And I just wondered that this is more of maybe a like a philosophical question. But I wondered like specifically, if you could highlight some of the structural changes that that are going to help the profitability in the future. But like structurally, I don't know, I guess it's not really answerable, but how much improvement in profitability, do you think you could have when we get back to a more normalized environment? You know what I mean like, there has been a lot of changes you could never really give an exact answer because depends on volumes but seems like there has been some real structural changes that will help a lot.
Eddie Lehner: Yeah, Joel. So, certainly hard to model on the phone, but what I would say is, if you go back and look at past being prolonged, just go back to more normal time and look at the progress we made from 2013 to 2014. And of course, the entire industry has taken a steep guidance in this year. But I look back at 2014 and I look at the things we’re doing now inside the organization and very optimistic about being able to build on 2014. As the macro is eclipsing everything right now, so it's really hard to see through the micro. But the things that we’re doing in an organization transformatively, we expect that we would continue along the same lines that saw us build EBITDA in 2014. And once we get through this turbulence and this bad weather, we would expect that to continue.
Joel Tiss: Okay. Thanks very much.
Operator: We’ll take our next question from Tyler Kenyon with KeyBanc Capital Markets.
Tyler Kenyon: Hey. Good morning Eddie, Erich, Kevin, Mike.
Eddie Lehner: Hey, Tyler.
Tyler Kenyon: Appreciate all the color on the end markets you've provided thus far. But just on a more forward-looking basis, as you have conversations with your customers, any indication as to what your customers are maybe expecting across the end markets in 2016? I mean, clearly some inventory, which needs to be moved through the channel here towards the end of the year, but any bright spots, any weak spots, any clarification there would be helpful?
Eddie Lehner: I want to turn it over to Kevin and Mike.
Kevin Richardson: Yeah. It’s always a question and it is one of these things with these times, just with the uncertainty that so many of our customers are facing. I would think if there is a theme out there that tends to be more optimism directed towards consumer-driven growth opportunities, I think that more than anything else would give some hope and the areas benefit from that, we would continue to see some strength developing in. On the flipside, we still continue to see some soft conditions in the oil and gas arena, in the mining, in the egg and really not seeing a whole lot coming out right now to suggest that those areas that are going to be improving much if anything next year. So, if there is one -- like I said, if there is one area that I’d say that comes up more often and aligns with which have [macroly] [ph] would be in the consumer-driven opportunities.
Tyler Kenyon: Okay. Great. Thank you. And then just one question for you, Erich. As far as -- could you just tell us what you are expecting in terms of full year CapEx for this year? Where you may see that trending into next year? And I know you mentioned, you expected your pension cash contributions to moderate a bit into next year, any sense to the magnitude there?
Erich Schnaufer: Yes. As far as the pension goes, we’re actually expecting a quite significant decrease. Our total pension contributions expected for the year is $43 million. We paid $42 million through the first nine months. Next year, we are expecting that number to drop by about $20 million.
Eddie Lehner: Tyler, this is Eddie. On CapEx through 2015 based on some growth CapEx projects that we brought forward into 2015, that number is going to come out around $25 million based on current conditions. As we move into 2016, we’d expect maintenance and growth to come under number $20 million pending what we see as we move through 2016.
Tyler Kenyon: Okay. Great. Thanks. Appreciate the color.
Eddie Lehner: Thanks, Tyler.
Operator: [Operator Instructions] And it appears we have no further questions in queue at this time. I would now turn the conference back over to Eddie Lehner, President and CEO for any closing or additional remarks.
Eddie Lehner: Thank you. Appreciate everybody’s interest in Ryerson. We look forward to speaking with you next quarter.
Operator: And this does conclude today's conference call. Thank you all for your participation. You may now disconnect.